Derek Dewan: Hello, and welcome to the GEE Group Fiscal First Quarter Ended December 31, 2021 Earnings and Update Webcast Conference Call. I'm Derek Dewan the Chairman and Chief Executive Officer of GEE Group. I will be hosting today's call. Joining me as a co-presenter is Kim Thorpe, our Senior Vice President and Chief Financial Officer. Thank you very much for joining us today. 
 It is our pleasure to share with you GEE Group's results for the fiscal first quarter ended December 31, 2021, and to provide you with our outlook for the remainder of our 2022 fiscal year. Some comments Kim and I will make may be considered forward-looking, including predictions and estimates about our future performance. These represent our current judgments of what the future holds and are subject to risks and uncertainties that actual results may differ materially from our forward-looking statements.
 These risks and uncertainties are described in Monday's earnings press release and our most recent Form 10-Q and other SEC filings under the captions cautionary statement regarding forward-looking statements and forward-looking statements, safe harbor. We assume no obligation to update the statements made on today's call. 
 During this presentation, we will also talk about some non-GAAP financial measures. Reconciliations and explanations of these measures are in are included in Monday's earnings press release, our presentation of financial amounts and related amounts, including growth rates, margins and trends around it are based upon rounded amounts for purposes of this call and all amounts' percentages and related items presented for approximations accordingly. For your convenience, our prepared remarks for today's call are available in the Investor Center of our website, www.geegroup.com.
 With that business behind us, I'm very happy to report that our first quarter of our 2022 fiscal year was another outstanding quarter and arguably one of our best ever, beginning with net income of $16.7 million or $0.14 per diluted share, consolidated revenues of $42.8 million and gross profit and gross margin of $15.6 million and 36.4%, respectively. Our non-GAAP adjusted EBITDA for the quarter was $3.9 million, which represents a 9.1% margin compared to revenue. This is the third consecutive quarter of solid growth and improvement since the June 30, 2021 quarter during which we completed the final steps in eliminating over $100 million in debt and elimination of $12 million in annual interest costs.
 We're very pleased with these results, in particular because customarily, the strongest performing quarters are quarters ending in June and September. The 2022 fiscal first quarter performance not only exceeded the comparable prior year quarter, it also outperformed each of the 2 sequential prior quarters ended the September 30, 2021 and June 30, 2021. The 24% overall growth rate in revenues was achievable in part because U.S. labor markets continued to harden and trend back towards the pre-COVID-19 levels. Our people took it from there by delivering outstanding value to our clients for their HR dollars spent with us. 
 As previously reported in December, we obtained forgiveness from the SBA for the remaining CARES Act PPP loans and related interest, $16.8 million in the aggregate. This resulted in a gain from debt extinguishment and accounted for our larger-than-usual net income of $16.7 million or $0.14 per diluted share and a substantial portion of the improvement when compared with the fiscal 2021 first quarter results.
 However, even excluding the effects of the $16.7 million in gains, a noncash goodwill impairment charge of $2.2 million and $509,000 of accrued severance pay, our diluted EPS would have been $0.02 in the fiscal 2022 first quarter compared with a negative $0.02 for the fiscal 2021 first quarter, a $0.04 per share improvement. As Kim will explain in a few moments, when prior quarters are adjusted to remove similar nonrecurring and nonoperating items, our pro forma diluted EPS for the trailing 12-month period ended December 31, 2021, is $0.10 per diluted share, which represents a pro forma 16.7% annualized return on yesterday's closing share price of $0.60 per share. Our non-GAAP adjusted EBITDA for the 2022 fiscal first quarter was $3.9 million. Non-GAAP adjusted EBITDA for the trailing 12 months ended December 31, 2021, was $12.6 million.
 Before I turn it over to Kim, I just want to say again how very proud and amazed I am by our dedicated employees. They are the key to our success. And at this time, I'll turn the call over to our Senior Vice President and Chief Financial Officer, Kim Thorpe, who will further elaborate on our results for the 2022 fiscal first quarter. Kim? 
Kim Thorpe: Thank you, Derek, and good morning. As Derek said, consolidated revenues were $42.8 million of the fiscal 2022 first quarter. This was up 24% and from the fiscal 2021 first quarter, the 2022 fiscal first quarter is the fourth consecutive quarter of revenue growth over prior year comparable quarters since the beginning of the pandemic and the third consecutive quarter of double-digit top line organic growth. 
 Our professional staffing services segment revenues were $38.8 million, up 31% from the fiscal 2021 first quarter. Professional direct hire or permanent placement services revenues were up 82% over the comparable prior year quarter. They comprised 16% of total revenues for the Professional Services Business segment and 14% of all revenues. Professional contract services revenue in the fiscal 2022 first quarter also grew nicely, up 25% over the fiscal 2021 first quarter. Our IT services end markets at Agile, Access Data, Paladin Consulting and SNI Technology accounted for 48% of our Professional Services Business segment revenues and were up 21% year-over-year.
 The other professional services end markets, finance, accounting, administrative and office, engineering, health care and other accounted for the remaining 52% of professional services business revenues and were up 43% in the quarter year-over-year. The industrial services business segment revenues representing 10% of total revenues for the quarter were down $1 million as compared to the fiscal 2021 first quarter. 
 We experienced a resurgence of pandemic-like conditions associated with the Delta and then Omicron variants in our Ohio markets including recurring school and business closings and interruptions, which were reminiscent in some respects of the early COVID-19 pandemic. As these conditions begin to recede and we exit the winter months and weather interruptions, such as the recent winter storms we all experienced across the U.S., we expect our light industrial business to begin to recover and grow again. 
 Collectively, our Professional Services segment direct hire and contract revenues as a segment comprised 90% and 85% and of our total consolidated revenues for the fiscal first quarters of 2022 and 2021, respectively. Looking at our consolidated revenue from the viewpoint of all contract services both professional and light industrial combined compared with direct hire, all of which is professional, combined contract revenues were 86% and 90% of our consolidated revenues for the fiscal first quarters of 2022 and 2021 results, respectively. Direct hire revenues were 14% and 10%, respectively.
 As Derek mentioned, our direct hire revenue performance was outstanding once again in fiscal 2022 first quarter and with 100% gross margin was instrumental in achieving our outstanding first quarter results. Consolidated gross profit dollars were strong at $15.6 million, up 24% in the 2022 fiscal first quarter as compared to the 2021 fiscal first quarter. Our Professional Staffing segment 2022 fiscal first quarter gross profit dollars were up 46% and as compared to the comparable prior year first quarter. The consolidated gross margin percentage for the fiscal 2022 first quarter improved over fiscal 2021 and both quarters were strong at 36.4% and 36.3%, respectively.
 Selling, general and administrative or SG&A expenses were approximately 29% of fiscal first quarter of 2022 consolidated revenues compared with approximately 27% of revenues for the 2021 fiscal first quarter. Higher incentive and bonus compensation associated with near record revenue production and $509,000 of accrued severance pay contributed to this higher fiscal 2022 first quarter percentage ratio. Underneath that, the company continues to benefit from higher productivity and operating expense savings in several areas achieved during the pandemic and before.
 As Derek mentioned in his remarks, we achieved net income of $16.7 million or $0.14 per diluted share in the quarter, which was larger than normal due to the gains on forgiveness of our 4 remaining PPP loans. The 2022 fiscal first quarter results also included 2 nonrecurring or nonoperating charges, one of $2.15 million noncash goodwill impairment charge and a $509,000 accrued severance package associated with an eliminated position. Pro forma net income, that is, excluding the effects of these 3 items was $0.02 per diluted share in 2022 fiscal first quarter compared with the negative $0.02 for the 2021 fiscal first quarter, a 4% per share improvement. 
 Our pro forma diluted EPS, excluding the effects of similar nonoperating and/or nonrecurring items for the prior 3 fiscal quarters would have been $0.03, $0.02 and $0.03 per share for the fiscal quarters ended September 30, 2021, June 30, 2021 and March 31, 2021, respectively. This results in pro forma diluted EPS for the trailing 12-month period ended December 31, 2021, when combined of $0.10 per share and the 16.7% annualized return on our common stock, as Derek spoke of a moment ago.
 For those of you who participated in our 2021 follow-on offering, recall that one of the main objectives of that offering was to redirect the 16% interest we were paying to senior lenders to the benefit of our common shareholders instead. These are the first installments toward that objective. Adjusted EBITDA, which is a non-GAAP measure, was $3.9 million for the 2022 fiscal first quarter, up $300,000 and or 8% over the prior year quarter. Non-GAAP adjusted EBITDA for the trailing 12 months ended December 31, 2021, was $12.6 million, up $300,000 or 2.4% from our adjusted EBITDA for the fiscal year ended September 30, 2021. 
 As we reported last quarter, these results continue the growth trends since the onset of the COVID-19 pandemic combined with cost savings for integration and restructuring activities both before and after the effects of COVID-19. These measures have resulted in higher productivity, lower operating costs, improvements in earnings and quality of earnings and solid cash flow generated from operations.
 With the many improvements we've now made, we believe the positive trends in the company's results are sustainable. Again, a reconciliation of GEE Group's GAAP net income to the company's non-GAAP adjusted EBITDA for the quarters can be found in the supplemental schedule and our earnings press release. 
 To conclude, our current or working capital ratio at December 31, 2021, was 2.5:1, as of December 31, 2021, the company had consolidated accounts receivable net of $21.2 million and implied days sales outstanding or DSO of approximately 46 days. We reported positive cash flow from operating activities of $2.3 million for the 2022 first quarter. Our liquidity position is very strong. Finally, our net book value per share was $0.86 per share at December 31, 2021. Now I'll turn the call back over to Derek. 
Derek Dewan: Thank you, Kim. The 2022 fiscal first quarter is one of our best ever and a great start for fiscal 2022. At December 31, 2021, the company had $12 million of cash in the bank and no borrowings outstanding on our bank ABL credit facility with over $13 million in availability. Now that all of our former CARES Act PPP loans have been forgiven by the SBA, our debt leverage is 0. This all greatly enhances both the current enterprise value and financial fundamentals of our company and significantly improves GEE Group's prospects for future profitable growth in 2022 and beyond.
 We are well positioned to augment organic growth with strategic acquisitions. GEE Group has continued its strong momentum from the fourth quarter of fiscal 2021 into fiscal 2022, and we expect to report good results for the remainder of our 2022 fiscal year and beyond. And finally, we'd like to again thank our wonderful employees for the professionalism, hard work and dedication, without which we could not have accomplished all the good things we have this quarter and this year. 
Derek Dewan: Now Kim and I will be happy to answer your questions. [Operator Instructions] Thank you very much, and we'll proceed to the question-and-answer session. 
 So the first question we have is from Spain. And thank you for your compliments on our -- on the company's performance and what we've done to date. The question is, you have earned the possibility for share buybacks. You've been generating cash, which should be reinvested in the company. And if you buy another company, you can use the shares purchased. 
 The answer to that question is spot on that we are capable of doing share buybacks. Would we consider it? We will consider it, and those shares could be issued from the treasury in connection with an acquisition. 
 And I'll answer the second question since it's the same person. The question was you made an offering in 2021, an equity offering. I think you ruled out another equity offering before an acquisition. 
 The answer to that is correct. We don't need to do equity offerings at this point clearly. And please be supportive of shareholders going forward, and we deserve it, and thank you very much. We agree with you, and we'll follow through as discussed. Thank you for your question. We'll go to another question here in a second. 
Kim Thorpe: Hello? 
Derek Dewan: Yes. Can you take the next question? 
Kim Thorpe: Sure. Given the business requires little tangible capital to operate, what are the barriers to organic growth that maybe make it not as focal within the strategy as M&A? 
 That's a great question. We're in a very competitive industry. It does have very solid organic growth, but it's low single-digit organic growth and to achieve the growth objectives that we've established internally for ourselves, that will -- that really sort of dictates us to look for strategic acquisitions. When we formed GEE in 2015, that is we reversed acquired GEE, it was only about $40 million in revenue and wasn't really making money.
 Today, we're trending up towards $160 million in revenue. We've done 5 acquisitions. We've spent the last couple of years integrating, assimilating, building platforms with which to take the next big steps and to be able to acquire companies and assimilate them and integrate them efficiently, and now we're in a position to be able to do that. So it will be a combination of both. We will always focus on organic growth, and we're doing very well organically now. So that's my answer. 
Derek Dewan: Thank you, Kim. The next question is, unless catastrophe hits within the industry or the company, it seems that the company is clearly undervalued to a large degree. Given the large cash position, can we expect a tender offer or a buyback so that the M&A strategy can begin to pick up again?
 The answer to that is we're always looking at acquisitions, and we do have a pipeline of good targets. This person is very correct or the shareholder in that we are now positioned to be able to do those things. And there's a second part of this question or another question in connection with it that says, during the previous acquisitions spree, the double-digit growth rates -- or double-digit interest rates on the financing were crippling and ultimately led to the stockholders being diluted because the equity offering. Going forward, how will the balance look like between debt, cash and equity to finance M&A? And is there going to be not to take on higher rate financing in the future. 
 The answer is a combination of cash, equity and seller financing will be used and possibly bank financing of our low-priced ABL, and we are not going to get into a high-rate financing nor are we going to do an equity offering in connection with M&A. We have the capacity to do what we need to do with our balance sheet today and without getting into high-rate debt. So that's a good observation, and I agree with exactly what was said.
 The next question says, congrats on the recovery. The case for reverse stock split and a share repurchase are obviously compelling, the stock trading at $0.60 a share and only at 5x EBITDA. No meaningful acquisition can match the return on buying back stock here and the company has cash to begin a program. Most investors will not look at stocks trading below a certain price, reverse split solves that. Why is it taking so long for the Board to act on these essential and obvious moves? 
 So reverse split is something that you contemplate if you're staying with your stock price below $1 or otherwise. One of the questions I get on that is, is there a break the buck rule, so to speak, that you have to worry about from the exchanges? And we're on the New York American, and the New York Stock Exchange does not have a hard and fast rule like the NASDAQ does on breaking the buck. They look at your capitalization and your performance, and we're solid as a rock. So I don't anticipate that being the driver.
 However, a reverse stock split can make sense when certain institutional investors can't buy a stock below a certain threshold price. So it's something that the Board has considered and discussed extensively. And I would say nothing is off the table and neither is a stock buybacks. I personally have done a $300 million stock buyback in my predecessor company that I was running, and it proved to be very good in removing dilution to EPS. So all these things are definitely on the table and discussed frequently with our Board, and you can look for us to execute as we've discussed previously. 
 The next question, as you mentioned, insider buying window is small. So when is the next insider buying window? It's usually the next 2 weeks or so after the earnings settle in a couple of days, that kind of lifts our blackout period, unless there's some other reason with nonpublic information that's material that we're aware of as insiders. 
 In previous remarks, I personally mentioned the $1 billion revenue target by 2025 as mentioned. Is it still in the outlook? And accompanying this, what are the owners earning share targets to go along with the revenue targets? 
 Without getting into too much detail, our operating margin/EBITDA margin, however you look at it, will -- is approaching double digits right now, and it will increase as we have operating leverage because we will not have to spend a lot of money on SG&A in connection with an increase, significant of revenue in the top line. So the growth to $1 billion, I always set the targets super high. We've done that before and achieved it or exceeded it. It's not unusual. It clearly would result in a larger acquisition or a series of acquisitions to get there to augment internal growth. But I believe that this is a scalable business and size matters over time to develop the most profitability we can. We need to utilize our people and our infrastructure to leverage that.
 Next question says, great job on leading the turnaround. Excluding the severance, SG&A was up some. Is it expected to continue? Do you expect to leverage SG&A as the year progresses? How would you expect it to compare to the 27.7% for the full year 2021?
 So Kim, why don't you comment on SG&A, and it's up some, but it's -- why don't you tell them why it's up? 
Kim Thorpe: Yes. SG&A was up this particular quarter because we took a charge, $0.5 billion charge to eliminate a position. And believe it or not, that's about almost 1% impact for the quarter. And then also because the revenue growth was so strong, both in this quarter and in the September quarter, we paid more in bonuses and incentive comp. We had a step-up as opposed to a pro rata smooth ramp-up of bonuses and incentive comp. So those two things combined caused SG&A to pop up from 27% to 29%. But let me say, when -- back in 2018 and 2019, SG&A was running well above 30% in every quarter. And in some cases, 32%, 33%. 
 We're doing -- we will continue to manage this to keep the SG&A below where it is now. As Derek mentioned, one of our goals is to get to double digit EBITDA -- a double digit EBITDA margin. So -- and I'll tell you, I think we've done a fairly good job of making sure that we get the most out of our SG&A dollars. But yes, that will always be -- and then again, when we grow, as Derek said, that number will come down even -- the percentage will come down even more. 
Derek Dewan: Thank you, Kim. The next question refers to strategic acquisitions. Just how close are you to a strategic acquisition?
 What we've tried to do was position ourselves and our balance sheet so that we can make the acquisitions, not only make them accretive to earnings per share, but also to make sure that we keep the strength of our balance sheet. And we have acquisitions in the pipeline. We were waiting to get our PPP loans forgiven, which occurred in December. So now we have cash, we have an unused credit facility and as appropriate, we have equity that we could issue in connection with an acquisition. We have stock buyback potential too. 
 And I would say that combo of all of those things would be more likely to occur in the near term. So the key is with acquisitions as well, we have to see how they performed during the COVID era, coming out of COVID. We want to see normalized numbers. We want to make sure they're strategic. The acquisitions that we're looking at are almost exclusively related to information technology, which is the fastest growth sector and has the highest profitability in staffing and otherwise. 
 So our landscape looks good. We're charged up. We also wanted to get the internal growth machine going so we can fund with operating cash flow, acquisitions and buybacks and everything else that are in what I call the arsenal of improvement regarding shareholder value, EPS, EBITDA, net income, and we'll move forward.
 One of the next question ties into one of the earlier ones, given the variable nature of many of our expenses and the variable nature is basically recruiting and account management costs, and they're tied to volume. There's commissions involved there on performance and things like that and just salaries and headcount internally. Our productivity is very high in terms of each individual in the company and what they're able to produce either on the recruiting end or on the sales end of the business. So do we have scale? And can we expand? 
 The answer is I think I hit it earlier, the goal is to keep your infrastructure tight and your costs and to scale up. We are adding headcount internally, but that is production headcount, not overhead or administrative headcount. The headcount we're adding are recruiters and account managers, remote recruiting, virtual recruiters. Our demand is off the charts. So we have what they call a champagne issue, fill as many orders as you can. And of course, we're filling the most profitable orders first and our spreads are high. Our gross margin is high even without perm, our gross margin's high, particularly, obviously, in the professional division or segment. So great question. Yes, we will scale and we can hold -- SG&A should drop as a percentage of revenue at some point when our revenue expands.
 What do you expect for organic growth rate going forward? What portion is volume versus pricing? 
 That's a really good question. So I'll answer the second part first. As we raise wages for contract workers, that will improve because of the way we mark up on payroll, what we call the spread or gross profit dollar per hour. So there is margin expansion going on from a pricing standpoint. And yes, we build the customer more in that specific situation, which is pretty predominant right now in our business units. 
 What organic growth rate going forward do you expect? To grow double-digit organically is a good target, I would say the higher single digits initially. And that's -- what's limiting us is really adding more horsepower, "people, production personnel, recruiters and account managers." So we've been adding them as fast as we can. The other thing that's very notable is that our retention rate of internal staff and our longevity, their tenure with our company is outstanding. So we're doing everything right. We just need to do more of it, and we will and we are.
 Kim, the next one asked about our expected tax rate for 2022. And do you have net operating losses to offset taxable income from a cash perspective? 
Kim Thorpe: Yes. The answer to that is we do expect a low effective tax rate, and we do have NOLs to help offset that for this year. 
Derek Dewan: Okay. Great. Do you expect negative, neutral or favorable cash flow related to working capital in 2022? Do you want to take that? 
Kim Thorpe: Yes. Right now, our EBITDA is a fairly good proxy for cash flow. And when I say EBITDA, I mean pure EBITDA because we now -- we have no interest right now. Prior to that, a big chunk of our cash flow was going to interest. That's now not happening. So that cash is now redirected inward. So we're -- that's a pretty good way to look at gauging our cash flow for the year. 
Derek Dewan: Okay. Great. What are expectations for revenue growth in fiscal 2022? Should we expect good operating leverage, EBITDA and earnings growth, exceeding revenue growth and free cash flow? We hit some of those points, but Kim, why don't we cover that as well? 
Kim Thorpe: Yes. But if you look at -- if we break our SG&A down further, about 2/3 of it is what I would call selling expense, which really funds all of our people in the field. And of that amount, about 40% of that is variable comp, bonuses, incentives other than base. And then -- and the rest are salaries. Those will step up as we hire more people, the salary portion. And of course, the variable portion will go up kind of pro rata as sales increase. But our -- the other 1/3 of our SG&A is what I would call pure G&A and those costs tend to be more fixed. So I would expect that 1/3 to remain relatively stable. So if you follow all that math, then we could scale down somewhere where were -- we're saying we're at the 27% or 28% right now, that could scale down 1% or 2% with the level of growth that we're looking for in fiscal 2022. 
Derek Dewan: Okay. The next question says, great quarter, Derek and Kim. Would it be possible to get a sense of the range for revenue and EBITDA growth for 2022? And then this ties into it, can you help us with growth expectations for this year, 2022? Should we think 20% given year-over-year comps? It gets harder, but the labor market remains tight. We can both work on that. 
 So clearly, when you're coming off a downturn, there's some growth that's recovery growth. And then layered on top of that, there's growth because business is great. The labor market is great, hiring and so forth is conducive to our industry and our company, particularly in the segments that we're in, which I believe we're in the best segments with a huge focus on IT. 
 So 20% on comps get harder in a tight labor market. That is a true statement. It's a tight labor market, but it doesn't mean that we can't grow significantly. So 20% would be a great target for organic growth in any business. And I've been able to do that historically in a predecessor company, and we are well positioned to do it. But I would tend to think that a more normalized growth expectation is a lower double-digit, and augmented with an acquisition, you could push it over 20%. Kim, do you want to add anything to it? 
Kim Thorpe: Yes. I would just say that, first of all, going into last year, fiscal 2021 and the early part of that year coming out of the pandemic here, we've overshot our growth mark significantly. We thought we would finish the year at about $139 million or $140 million of revenue. We ended up almost $149 million. There's still some catch-up happening in the economy right now. As we pointed out in our remarks, it's somewhat unusual to have a December quarter as big as we just had because normally our June and September quarters are more active in employment opportunity. But again, because the country is all still -- the labor market is still hardening, we're having this quarter. 
 Conservatively, we're going to pull back a little bit on the March quarter because the March quarter is typically -- it's got a lower number of workdays and there's weather and holidays and the like. So we're not expecting -- we're conservatively, we think March will drop a little bit. But we think we'll end up -- clearly, we'll be above 2020 and above 2019. So that's kind of how we're looking at it. And again, I think high single digit, low double digit is not unreasonable. 
Derek Dewan: The next question is do you... 
Kim Thorpe: Yes, sorry. Organic. 
Derek Dewan: The next question, do you anticipate as inflation has increased, will the inflation premium be passed on to clients as labor charges have increased across the U.S.? 
 I mentioned that previously, the answer is yes. We've been able to pass it through, and it does increase the gross profit dollar per hour billed and the gross margin percentage. 
 Share buybacks were supposed to be part of our triple option football play for the last conference call. Why have we kept it eliminated from our playbook? It's still in the playbook. We still have the triple option. And I think that one of the hesitancies before we executed our play, so to speak, or called the play was to get our PPP loans forgiven, which occurred in December. So also, we wanted to see another quarter of good results as well. And patience is a virtue that I've learned to have overtime. It's called old age, I guess. But I can safely say that the playbook is still there, and now it's time to execute the place. And I think all of these questions are things we focus on every day. So yes, the option. I'm not going to tell you right now which play we're going to take out of the playbook, but our goal is to score touchdowns and win. So we have it in our arsenal. And I think that it's a reasonable expectation at some point as well. 
 When the stock trading at 4x EBITDA, why would you consider using equity for acquisitions? That would dilute shareholders as target would be priced at a higher multiple. Excellent point. Unless we can see accretion to earnings per share, it makes no sense to use your own equity at depressed levels. Agree with the comment.
 I recall from the previous earnings discussion, there would be a road show to further market the great performance of the company to institutional investors and analysts, can provide some additional insight as to the progress on gaining further analyst coverage and further institutional investment? 
 We work very hard at that. We've done a few conference -- investor conferences since the last call. However, we'll be involved in the Sidoti conference in March. And we also anticipate analyst coverage increasing. We're working with analysts now on giving them appropriate information that they can move forward and pick up coverage on our company. 
 So is that a reasonable expectation? Yes. We have done subsequent roadshows. But I think the important thing -- and we've done them subsequent to the equity offering that we did, but I think what our target is here is to increase awareness with institutional investors of size so that we can get positions in our equity that are substantive and are longer term. So that's the key to improved stock price performance. Of course, results matter, and we're delivering those. So yes, exposure is critical in the analyst community and at conferences and road shows, all of which will happen and are in progress. So we'll be putting an announcement out about the institutional conference that we're participating and presenting at and the timing of that will probably correspond with some analyst coverage as well. That's the expectation, and it's reasonable.
 Regarding organic growth, can you provide some additional insight on further selling of additional products to current clients or onboarding of new clients? All of those things are happening. Our product mix in terms of what we're able to offer clients has changed, but we've also counted on what we do and what we do well. So we don't want to dilute our offerings to clients by trying to do more than we're capable of delivering. But we have added, based on market demand, select service lines, particularly in IT. 
 We also have project-type work. And when we get a big project, we're able to staff up hundreds of people for several months. One of those projects we did involved kind of the COVID response that we were hired to participate in staff centers to provide the resources for amelioration of COVID and things like that. So we are able to move quickly in marshal resources and get our contract work, both annuitized and our head count up. So yes, we are doing that. 
 Throughout the industry, I have heard a lot of companies investing in technology, given this would increase productivity across the industry, do you expect more competition on the bill spread? The technology we have is the state-of-the-art, our front office system, Applicant Tracking System is by far the best in the industry. Some of the larger competitors have it, many smaller competitors do not. We also use what I call the realm of job boards like LinkedIn Recruiter, Dice for IT, CareerBuilder, Monster, Indeed, all those tools are available to the majority of our people, and we are -- speed to market when you find a candidate is critical. So we are very, very astute in using technology. And do I expect more competition on the bill spread? Not really. Today, it's more can you get the right person than the pricing. 
 How do acquisition multiples in your pipeline IT compared to your own valuation of 5x? That question dovetails with the prior question. If you're valued at 5x and you pay 8x for a company, clearly IT, 8x is a reasonable target range, maybe 9x. You don't want to use equity basically to do that. And again, can you get deal accretion from it? And I think structurally, you can, seller notes, cash, that works. And sometimes we do an earn-out, so that we see the growth and pay for the growth as earned. So I agree with the observation there. 
 Any other questions? We have time for more. We're getting towards the end, but we have -- clearly have some time if you need it. These are excellent questions. Hopefully, we've answered satisfactorily those questions. So I want to speak about a few things since we're getting toward the end of this conference call. 
 The strength of the company is phenomenal at this point. We have great leadership in the field with good tenure that's really difficult in a very competitive environment for labor and leadership. So from the top down, our field personnel have done a fabulous job or button down. We don't have what I call losers. We're not struggling in any particular office much at all. And if we are, those offices are either gone or they're restaffed and producing. So we've gone virtual on a few offices in some markets. That's a trend. We get rid of lease costs. People like it. It's easier to attract talent in many cases to do that. We have rotational shifts in our offices. We have a lot of flexibility for our people. And it's paid dividends. 
 How we performed during COVID was also what I think was a really fabulous reaction to the pandemic in terms of how hard our people worked, how we were able to work remotely with our technology. We do have Teams. We have Office 365. We have state-of-the-art tools in the offices and people can work remote too. There's a lot of Notebooks and so forth. So we support our teams so they can work from home as necessary or permanently depending upon their status and what our design was for that particular market. 
 And we're adding talent every day to grow. And that's how in this business you grow. You have to get maximum capacity from your existing personnel, but the only way to really fill all the job orders is to increase in particular, your recruiting horsepower in this market, and we have and are and continue to do so. So at this there's no further... 
Kim Thorpe: Derek, we have one more question, if you want to take a look. 
Derek Dewan: Has it just come in? 
Kim Thorpe: Yes. 
Derek Dewan: Is that how do acquisition multiples in your pipeline, especially for IT staffing compared to your own valuation of 5x. Is that the one you're referring to? 
Kim Thorpe: No, no. All my questions have already been answered. 
Derek Dewan: Okay. Got it. Okay. You want me to say that one because it's a really complementary. It says, hi, all of my questions have already been answered. Just wanted to give it a quick and simple feedback, great job. We're very pleased with how you guys act and very happy with our position from last year's offering. We do share the ambitious revenue target for 2025 and strongly believe you guys are capable to execute. Best wishes from Switzerland. Well, boy, that's great. We like that. Thank you very much for the comment. We'll work hard to continue that momentum. 
 We do have another one. Insiders continue to not buy any shares, is this something that is talked about with our directors and C-suite team? Insiders have a lot of shares, including me, and a lot of shares that were paid for with cash that are much higher than where we're trading today. So our targets are high for us, and what we have expectations for, for our stock price, and we all have a stake in the game. 
 Part of the problem is too that when the stock dips and we're sitting on results that haven't been reported yet, we can't buy in at that point or we have acquisitions that we're considering or other information that's not public at that point. So it's a little trickier today to buy at certain times. But yes, insiders, we talk about it. Our directors often ask, can they buy at this point? And sometimes we have to black them out because of what I just discussed. I've seen from a view of an office that they said they felt cash flow to the company working remotely. Obviously, the company provides tremendous value to the worker, but how does the company make sure that the virtual workers feel tied in?
 I can tell you the virtual workers and all workers have meetings every day, Teams meetings and are able to interface with our leadership in the field. That's -- by the way, that's an excellent question and a good observation. When you have remote workers, they're not on an island. They have to feel part of the team. In particular, our remote workers are tenured, so -- and have a lot of experience. So it's easier to manage that workforce than what I call neophytes. 
 So we do communicate regularly and often several times a day at times, we can track their productivity with our Applicant Tracking Systems. We can see a number of calls made, number of fills and all that. And we absolutely make sure they feel part of the team. So that's something that's new to pretty much the workforce, a byproduct of COVID, but very good for us, by the way. 
 COVID was kind of a blessing in disguise. It forced good behavior, and it forced productivity and economies of scale. And all those things that you should have been doing, it was a wake-up call to tighten the belt a little bit and to pursue alternatives in the workforce. It's a different world today, and we've responded, I believe, very quickly. We're nimble and we're quick to adapt to environmental changes.
 Let's see what else we got. I agree with the gentleman in Switzerland. Great job. Let me just say that -- and thank you for that. My comment is I'm not satisfied. I may be okay, but I'm clearly not satisfied because we want to do and will do much better, and we want to get our stock price up and do the right things. One of the right things is continued good results from operations and then expanding and using the tools that we mentioned before, where we have the so-called triple option playbook. So all those things will happen, give us a little time and patience, but not a whole lot because I'm not too patient. 
 I have it. That's stock price sitting. It's okay for now, but it's not okay in the long term. So we're all part of this, and we appreciate your interest level. And we also invite you to keep in touch and to look forward for good things. We're very bullish on 2022 and beyond. 
Kim Thorpe: Derek, there's one more -- we have time for one more question. I think it's a pretty good one. Do you want to... 
Derek Dewan: Okay. What do you have to say to those that state that pure-play online staffers will out your business as lower price substitutes. That question comes up a lot. And there's a few online staffers out there. I know of one that's public and losing money. But again, online staffing is no different than I use the real estate analogy that's out there. So you have a lot of, what I call, website real estate sites that actually are exchanges, medium of exchanges for valuing real estate and in fact, advertising real estate and so forth. Realtors that actually deliver the sale and close the sale are killing it. So those sites have been used as tools and visibility. 
 And I believe that, at some point, we'll have our own version of an online exchange or medium where the hiring manager can engage into a database if they have the recruiting horsepower. Remember, there's a task here. You can have an online exchange, but somebody's got to go in there and sort out thousands of resumes. We have experts doing that every day from a narrowed database. So aggregating a bunch of revenue, I mean, of resumes into a database is just one facet parsing the resumes by skill set and otherwise. 
 And we used a little bit of artificial intelligence. We had a tool used, but the machine learning aspect of it was still flawed because it was based on human, humans and their biases, by the way. So we've really sharpened the pencil on narrowing down what tools we use and how we use them to shrink the database to only quality candidates that have the skill sets. So those aren't mature enough actually, but they serve a purpose of aggregating resumes that can be tapped, but then you have to have further analysis on that. 
Kim Thorpe: But remember, Derek, also 90% of our business, we actually employ the people, employing people is a big value-add that a pure-play online can't do. 
Derek Dewan: Right. And everybody -- you have to assume that every potential worker that's available will post on multiple job boards as well as the online exchanges. So LinkedIn Recruiter, Dice for IT, CareerBuilder, Monster, Indeed, ZipRecruiter, I mean we have them all, Sense. We have Text messaging, Textkernel. I can go down the list. So I view those as additional tools, and we may, in fact, have our own version of it as an alternative for a customer. But you're going to find -- there was another one out in Texas, and they created a portal and the whole game. And it literally had to sell because it just couldn't get off the ground and it merged with another. So I don't view that as a threat. I view it as an added tool to use in delivering resources. 
 That concludes our presentation for today. Thanks for coming on. Look for good things going forward. And those of you who are investors, thank you for your investment and those who are not, we'd love to have you as a shareholder. Thanks again. Have a wonderful 2022. We'll talk soon.